Emily: My name is Emily, and I'll be your conference operator today. At this time, I would like to welcome everyone to Avantor's Fourth Quarter 2025 Earnings Results Conference Call. After the presentation, you will have the opportunity to ask any questions, which you can do so by pressing star followed by the number one on your telephone keypad. I will now turn the call over to Chris Fiedick. Chris, you may begin the conference.
Chris Fiedick: Thank you, operator. Good morning, and thank you all for joining us. Our speakers today are Emmanuel Ligner, President and Chief Executive Officer, and Brent Jones, Executive Vice President and Chief Financial Officer. Press release and a presentation accompanying this call are available on our Investor Relations website at ir.avantursciences.com. Following our prepared remarks, we will open the call for questions. A replay of the call will be made available on our website later today. During this call, we will make forward-looking statements within the meaning of the U.S. Federal Securities Laws, including statements regarding events or developments that we believe or anticipate may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set forth in our SEC filings. Actual results may differ materially from any forward-looking statements that we make today. These forward-looking statements speak only as of the date that they are made. We do not assume any obligation to update these forward-looking statements as a result of new information, future events, or other developments. This call will include a discussion of non-GAAP measures. A reconciliation of these non-GAAP measures can be found in the press release in the supplemental disclosures package on our Investor Relations website. With that, let me hand the call over to Emmanuel. Thank you, Chris. And good morning, everyone. Thank you for joining us today.
Emmanuel Ligner: I'll cover three topics to begin the call. First, project revival and our progress to date. Then our strategic objective for 2026 and how we will track our progress. And finally, my observations about the health of our end markets. I will then end the call over to Brent. We will discuss our financial performance, and 2026 guide in more detail. And after Brent comments, I will make some concluding remarks. Our previous earning call, I introduced the Avantor revival program, which is designed to sharpen our strategic focus and to improve execution across the organization. Revival consists of five pillars: evolving our go-to-market strategy, improving our operation, optimizing our portfolio, simplifying our processes, and lastly, strengthening talent, and increasing accountability. We are executing this plan with urgency, and in the three months since launching the program, we have already made important progress. Our top priority has been the go-to-market pillar. And recently, we made a fundamental shift in how we run the company. We now operate Avantor with two new business units: a product-agnostic channel and a channel-agnostic product business. Customers and their needs are at the center of this reorganization, and we believe that this delineation maximizes the possibility that every product and every service is delivered in a way that delights customers. Effective in Q1, we will alter our reporting segments to reflect this go-to-market approach and align external reporting with how we now manage a business internally. Next, we have recommitted to the VWR brand for our channel business. One of my earliest observations when meeting with suppliers or customers to the channel and our associates was that everyone refers to us as VWR. So as of a few weeks ago, the distribution channel of Avantor is once again known as VWR. We intend to capitalize on VWR's tremendous brand recognition and long-standing goodwill with customers around the world. In Q4, we launched an important update to the VWR e-commerce platform, and we have committed to invest an additional $10 to $15 million in 2026 to upgrade our customer's interface. Enhancing our digital capabilities is one of our highest priorities given their importance to so many of our customers. In the operations pillar, our new Chief Operating Officer, Mary Blend, has hit the ground running. Mary and her team have thoughtfully identified $20 million of investment to enhance our ability to serve customers. Next, we have established a revival project management office led by Allison Hosak that will coordinate our collective effort and will ensure accountability. Lastly, our team across the world has embraced revival, and I am thrilled by their willingness to make the changes necessary to maximize our potential. While I am optimistic as ever about the future of Avantor, I want to be crystal clear that 2026 will be a year of transition and investment as we reinforce the foundation of this great company. Significant investment will be made across the organization with our strategic priority in mind, driving sustainable, profitable top-line growth. We will compete vigorously but rationally, and we will work relentlessly to ensure customers are delighted about Avantor. As such, the most important metric to track our progress will be organic revenue growth rate, and we intend to demonstrate improvement over the course of 2026. We have a significant amount of work ahead, but the fruits of our labor will be meaningful when we execute our revival plan successfully. We believe that Avantor can grow at a faster rate, generate attractive margins, produce strong free cash flow, and do all of this in a far more consistent manner. Before Brent discusses the financials, I want to share what we are seeing across some of our key markets. First, let me echo recent comments from others in our industry. After a challenging 2025, our end markets feel more stable, though, naturally, some areas are in better shape than others. The biopharma end market continues to be healthy, with production levels growing at attractive rates and many companies identifying investments that will expand capacity or improve efficiency. This bodes well for future demand from this important customer cohort. The primary growth driver of our bioprocessing business is patient demand for biologics, which has remained strong. We expect demand for biologics to grow in 2026 and beyond based on customer development pipelines, the number of recent FDA approvals, and the pace at which existing therapies are being adopted. Customer inventory levels across JT Baker and other process chemicals appear to be reasonably normal, and we expect demand for our products could improve modestly in 2026, having exited 2025 with a book-to-bill ratio of more than one. On the Masterflex fluid handling side, we remain well-positioned in areas aligned with customer preferences, including single-use assemblies, fluid management, and modular processing solutions, which support flexibility and faster deployment when customers choose to invest. 2025 was a difficult year for our early-stage biotech, education, and government customers, but we are cautiously optimistic that those end markets are near the bottom. While it is difficult to predict if or when Avantor might see improved demand, we are pleased that certain headwinds facing those customers may be dissipating. The fourth quarter was one of the best quarters for biotech funding in recent years, and this momentum continued in January. Across the education and government end market, which we serve primarily with VWR, we have seen indicators of an improved funding environment in Europe and Japan, but there remains uncertainty in the U.S., which represents a large percentage of our education and government business. While we are encouraged by expectations for an NIH budget in 2026, customers remain hesitant to spend money even when it is committed and received. This, coupled with reductions in headcount and program cuts over the past year, leads us to believe that we will not see a noticeable increase in customer spend until we have an extended period of funding and outlay stability. Before I turn the call over to Brent, I want to note that we are pleased to welcome Sanjit Mehra and Simon Diggumans to our board of directors. Sanjeev and Simon add deep global leadership, financial expertise, and strategic insight. Brent?
Brent Jones: Thank you, Emmanuel, and good morning, everyone. I'm starting with slide four. We delivered a Q4 largely in line with expectations, with organic revenue growth, adjusted EPS, and free cash flow at or above our guidance. For the quarter, reported revenue was $1.66 billion, down 4% year over year on an organic basis and squarely in line with our guidance. Adjusted EBITDA margin was 15.2%. Adjusted EPS for the quarter was 22¢, at the midpoint of guidance. Free cash flow was $117 million. Excluding transformation expenses, free cash flow was $150 million at the high end of guidance. Adjusted gross profit for the quarter was $524 million, representing a 31.5% adjusted gross margin. This is a decline of 190 basis points year over year, driven mainly by unfavorable segment mix and product mix, as well as price actions in the lab to protect and grow market share. Adjusted EBITDA was $252 million in the quarter, which came in at the low end of our expectations. This was largely driven by gross margin, but also some modest headwinds due to revival-related spending as we have kicked off this program in earnest. Adjusted operating income was $225 million at a 13.5% margin. Interest and tax expenses were better than expectations, and as a result, adjusted earnings per share were $0.22 for the quarter, a $0.05 year-over-year decline. In Q4, we purchased $75 million worth of stock under the $500 million share repurchase program our board of directors authorized last fall. We paid down approximately $300 million of debt in 2025 and added approximately $120 million of cash to the balance sheet. Our adjusted net leverage ended the quarter at 3.2 times adjusted EBITDA, flat to last year. Leverage increased by a tenth of a point sequentially, largely due to FX impacts on the balance sheet that were higher than our expectations, as well as lower LTM EBITDA. Turning to our full-year results on slide five. Reported revenues were $6.552 billion, down 3% on an organic basis. Adjusted gross profit for the year was $2.14 billion, representing a 32.7% adjusted gross margin. Adjusted EBITDA was $1.069 billion in 2025, representing a 16.3% margin. Adjusted operating income was $958 million at a 14.6% margin. Putting all of this together, adjusted earnings per share came in at $0.90 for the year, at the midpoint of our updated Q3 guidance. We generated $496 million in free cash flow in 2025. Excluding transformation spend, we generated $599 million of adjusted free cash flow. Free cash flow conversion was nearly 98% when adjusted for the cash costs related to transformation. Laboratory solutions revenue for the quarter was $1.116 billion, a decline of 4% versus the prior year on an organic basis, representing the higher end of our guidance of down mid-single digits. Sequentially, sales grew modestly on an organic basis. The market environment remains reasonably stable, albeit at lower levels of activity than we would like to see. The prolonged government shutdown certainly had an impact in the quarter, but we also saw some modest end-of-year budget flush that we did our best to capitalize on, particularly with equipment and instrumentation. Our channel business, which represents approximately two-thirds of the business, was down mid-single digits, with strength more than offset by headwinds in consumables and E&I. Our services business was down low single digits, and our specialty business was essentially flat, with proprietary chemicals up low single digits. For the full year 2025, laboratory solutions revenue was $4.4 billion, a decline of 3% versus 2024 on an organic basis. Adjusted operating income for laboratory solutions was $114 million for the quarter, with a 10.2% margin. Adjusted operating income margin declined 290 points year over year and 110 basis points sequentially from Q3. The primary driver of the sequential margin decline was mix, with stronger equipment and instrumentation and specialty procurement sales at lower margins. Pricing also contributed to the margin decline. For the full year 2025, Laboratory Solutions' operating income was $510 million, with an 11.6% margin. Bioscience production revenue for the quarter was $548 million, which reflects an organic decline of negative 4% versus the prior year, representing the high end of our guidance. This also represents mid-single-digit growth sequentially. Bioprocessing, representing about two-thirds of the segment, saw a high single-digit decline at the better end of our expectations of down high single digits to low double digits. Within bioprocessing, process chemicals performed as expected, down double digits year over year. This was largely due to the ongoing backlog we are carrying, as well as a particularly difficult comparable in 2024. Process chemicals were up modestly on a sequential basis. On the order side, our process chemicals business, excluding serum, had a book-to-bill of more than one for the quarter, and this order book is up high single digits year to date. While we continue to have operational bottlenecks, these did not materially impact our Q4 performance versus expectations. Our backlog did not reduce meaningfully in the quarter and remains too high, but this is receiving intense focus from the operations and supply chain teams in line with our revival objectives. As expected, single-use was up low single digits both year over year and sequentially. Controlled environment consumables were down modestly sequentially and somewhat weaker than expected. For the balance of the segment, silicones performed largely in line with expectations, and applied solutions outperformed due to electronic materials. Adjusted operating income for bioscience production was $127 million for the quarter, representing a 23.2% margin, down 340 basis points year over year. This decline is significantly due to volume-related fixed cost absorption and mix. On a sequential basis, adjusted operating income was down 100 basis points, in part due to additional spend to drive better operational performance. For the full year 2025, Bioscience Productions adjusted operating income was $518 million, with a 24.1% margin. Please turn to Slide eight. As Emmanuel noted, we have optimized our go-to-market strategy, and as a result, we are resegmenting the business in 2026. Slide eight graphically depicts the key elements of this resegmentation, as well as our new nomenclature for the business. This resegmentation reflects how we now run the business, with a product-agnostic channel on the one hand and channel-agnostic products on the other. You will find detailed disclosures in the form 8-K we filed earlier today. Please turn to slide nine. The larger segment is VWR distribution and services, coinciding with our relaunch of the VWR brand last month. This will include most of the former Laboratory Solutions segment but now will include CEC, and will no longer include our proprietary laboratory chemicals business, as well as a few other small businesses where we manufacture products. The guiding principle for the VWR distribution and services segment is a product-agnostic channel primarily composed of third-party content, but that also includes VWR-branded products. Over 90% of this segment will be our channel business, and the balance will be our services offerings, which include our on-site services, where we manage our customers' inventories and stock rooms, as well as our equipment services business. Based on 2025 revenue, the channel piece of this segment was approximately $4.4 billion, and the services piece was approximately $300 million. What we are now calling our VWR distribution and services segment represented about 72% of our enterprise revenue in 2025 and had an adjusted operating margin of 11.5% for the year. I am now on slide 10. The other segment will be bioscience and medtech products. This segment includes most of the former bioscience production segment, with the addition of our proprietary laboratory chemicals business and a few other small businesses where we manufacture products, and the removal of CEC. Again, the guiding principle for this new segment is a channel-agnostic product business. The components of this segment are process chemicals, fluid handling, NuSil, and research and specialty chemicals. As you can see by the slide, process chemicals include our proprietary JT Baker products used in production environments, from solvents to salts to excipients. Fluid handling includes our Masterflex pumps and associated tubing, as well as skids and other fluid management solutions. NuSil includes our well-known high-purity silicones that are used in medical and industrial applications. Finally, research and specialty chemicals capture the balance of our portfolio, including diagnostic chemicals, proprietary lab chemicals, electronic materials chemicals, and serum for biologic applications. For fiscal year 2025, process chemicals generated approximately $500 million in revenue, fluid handling generated approximately $400 million in revenue, NuSil generated approximately $350 million in revenue, and research and specialty chemicals generated approximately $600 million in revenue. Combined, what we are now calling our bioscience and medtech products segment represented about 28% of our enterprise revenue in 2025 and had an adjusted operating margin of 26.7% for the year. Please turn to slide 11, where I will discuss our 2026 guidance. For 2026, we expect organic revenue growth of negative 2.5% to negative 0.5%. We expect FX will contribute 1% to the top line, resulting in reported revenue growth of between negative 1.5% and positive 0.5%. We expect that VWR growth will somewhat outpace that of bioscience and medtech products during the year. We continue to drive operational recovery and process chemicals and have the benefit of a strong order book in the business. Bioscience and medtech products do face difficult comps in 2020 in its research and specialty chemicals subsegment, specifically in electronic materials and serum, as well as with NuSil. VWR will be impacted by a continuation of the various dynamics discussed on prior earnings calls. As Emmanuel mentioned earlier, we will continue to compete vigorously but rationally and believe that this business will exit 2026 on more stable footing. We are making a variety of investments to enhance our value proposition and to better serve customers, which we believe will improve the performance of this franchise over time. Moving to profitability. We anticipate that our EBITDA margins will contract by as much as 100 to 150 basis points in 2026, similar to our margin level exiting 2025. Margins will be pressured by a variety of factors, including bioscience and medtech product growth due to headwinds stated before, mix shifts, revival investments, incentive compensation reload, as well as price-cost spread. While our cost-saving initiatives remain on track, they will only offset a portion of the headwinds that we will face this year. Moving below the line, we anticipate interest expense will approximate that of 2025 as FX movements offset the benefits of debt repayment, and we anticipate a tax rate of approximately 22.5%, similar to 2025's rate. Finally, we assume a fully diluted share count of 685 million shares for the year. All this translates to an adjusted EPS outlook of 77¢ to 83¢ for 2026. We expect to generate between $50 million and $550 million of free cash flow in 2026, and we once again expect our free cash flow generation to be back-half weighted. Our guidance does not assume any share repurchases during 2026. A few comments on phasing. In Q1, we expect to generate EPS of between $0.15 and $0.16 per share. We will face the same margin headwinds in Q1 that we do for the full year, but Q1 bears the additional burden of being the historically softest quarter of the year for our industry, plus our cost initiatives will have a greater impact later in the year. We may also be impacted by the severe weather across the U.S. recently.
Emmanuel Ligner: Finally, capital allocation. Debt reduction remains a top capital allocation priority as we remain committed to reducing our leverage sustainably below three times net debt to adjusted EBITDA. We built cash and paid down a meaningful amount of debt again in 2025. At the same time, we continue to believe that our current share price fails to reflect the intrinsic value of our platform, so we may choose to repurchase shares opportunistically with excess cash. With that, let me turn the call back to Emmanuel.
Emmanuel Ligner: Before we move to the Q&A session, I want to spend a few moments discussing two important topics: our cost base and our go-to-market strategy. I've spent my career in organizations famous for their continuous improvement mindset, with a particular focus on eliminating wasteful spend and recycling it into growth-oriented areas. The continuous improvement mindset is central to my management philosophy. I see many opportunities for Avantor to become more efficient. At the same time, I see many opportunities to make important growth investments across the business. With our focus on revival, we will no longer report progress related to our previously discussed cost transformation initiative. Now we will continue to target those goals internally as a strategic objective separate from or in addition to revival. This doesn't mean that we are no longer focused on reducing costs in the business, but I believe that we should not have competing or potentially conflicting priorities as revival is our critical focus going forward. Through 2025, we have a run rate saving of $265 million, ahead of our original expectation. Revival is about much more than cost. It is about driving sustainable top-line growth and operating more efficiently. When you marry this to the actions already taken, this will provide a strong foundation to drive improved operating leverage and margin improvement that follows from it. Next, I want to dive deeper into the rationale for our new go-to-market strategy and the corresponding resegmentation of our business. Over the last six months, I have traveled the globe to engage with customers, suppliers, and other external partners. During those travels, too frequently, I've encountered confusion and misunderstanding about who Avantor is and what we do. This confusion ends today. Avantor is a house of powerful brands. Brands such as J.T. Baker, Masterflex, NuSil, and VWR. Each of our brands has a unique heritage, and often our brands are synonymous with attributes such as quality or reliability. Our new go-to-market strategy will facilitate sharper market positioning and will clarify our identity, allowing us to capitalize on the equity of those powerful brands. The distribution business will build on VWR's history of offering private label, third-party solutions, and services, while the product franchise offers a diversified portfolio of best-in-class manufactured products. By swapping certain business activities between the two segments, we will better organize the company to meet customer needs, as the requirements of VWR customers differ from those of a J.T. Baker customer. These pivotal changes should improve our go-to-market effectiveness by enabling each business to focus on its respective customer service needs, product life cycles, and value proposition. In addition, we have created clear operational swim lanes, which in turn will result in better operational transparency and accountability. Finally, we believe that our new structure will enable more focus and faster decision-making, as each segment is free to pursue its own strategy without any tension between a high-volume distribution engine and a product-focused manufacturing engine. To conclude, I am as excited as ever about the future of Avantor and confident that the successful execution of Revival will help us reach our vast potential. The company boasts a series of world-class assets, including its people, and I am delighted by how swiftly and energetically the team has responded to change. Avantor is in transition, and 2026 will be a year where we invest purposefully and sensibly to strengthen all aspects of our business. The ultimate goal, of course, is for the business to produce financial results that are far more attractive than what we have shown in recent years. Thank you again for joining the call. Operator, let's switch to Q&A, please.
Emily: Thank you. We will now begin the question and answer session. As a reminder, if you would like to ask a question today, please do so now by pressing star followed by the number one on your telephone keypad. If you change your mind or you feel like your question has already been answered, you can press star followed by 2 to withdraw yourself from the queue. Our first question today comes from Casey Woodring with JPMorgan. Casey, please go ahead.
Casey Woodring: Great. Thanks for taking my questions. Maybe just to start, you said that you expect growth in VWR to somewhat outpace that of bioscience and medtech for the year. Can you just unpack that? What are your segment growth expectations for the year? And then maybe just by quarter, can you talk about what you expect in Q1 in both segments and then the phasing throughout the course of the year?
Brent Jones: Yes, Casey, it's Brent. Thanks for the question. There are some limitations on what we're guiding to there, but that comment really is driven by, as we noted in, frankly, in my remarks there, we have a number of particularly difficult comps in the bioscience and medtech products business. In serum, in electronic materials, and NuSil. Those are creating several hundred basis points drag on growth there. So that we expect will bring it somewhat below where the VWR channel would be there. So that's the primary driver. We're not really laying out phasing of the growth throughout the year. When we think of Q1 and what builds the Q1, you know, we guided to $0.15 to $0.16 for the quarter, which absolutely implies it should be the low point of the year for most financial metrics. We're not getting the other elements of it. You'd expect doing the math there that organic revenues would decline by 5% or more, which will be offset by a meaningful FX tailwind there.
Casey Woodring: Okay. Got it. That's helpful. And then, you know, just curious if you highlighted that in 2026 it's going to be a year of transition and investment. Just on the latter piece, how are you weighing some of these investments, the $10 to $15 million in e-commerce versus some of the cost savings initiatives that are in place? And if you can give any update in terms of how much, by way of cost savings, Revival will generate, and if we'll see any of that in 2026? Thank you.
Emmanuel Ligner: Casey, Emmanuel. I think what is very important to understand is we are absolutely not abandoning discipline and cost saving. We have cost transformation initiatives. Okay? What we really want to make sure is it's part of revival, and it's really combined with what we are starting to do. The other thing is, as I said in my remarks, look. It comes from organizations which are very well known and where I have been very well trained on continuous improvement. And what is continuous improvement mindset is really making sure they take out the waste but you also reinvest this waste into opportunities that you have. And this company on both segments has tremendous opportunities. So remember in the revival, we have a pillar which is about optimization. That's where the initiative on cost out is going on. And then at the same time, we have to invest in our e-commerce channel. We have to invest in talent as well. And so this is where we are. The goal, Casey, of revival, I mean, I don't have to remind everybody about it, but it's really about driving urgency to grow the business top line, sustainably, but also profitably. So that's the goal that we have is to really make sure that we take cost out, we reinvest, and the outcome is top-line growth profitably.
Emily: Great. Thank you. Our next question comes from Brandon Couillard with Wells Fargo. Brandon, please go ahead.
Brandon Couillard: Hey. Thanks. Good morning. Emmanuel and Brent, I mean, maybe the high level would be helpful to get your perspectives on the degree to which you've kinda discounted the guide because stress tested your assumptions, especially coming off the successive number of cuts last year? Just trying to get a feel for elements of conservatism that may be embedded in either the top line or the margin outlook for the year.
Brent Jones: Yes. Look, Brandon, number one, very, very mindful of that. There are a huge number of moving parts that are gonna impact the P&L in '26, and the timing and the magnitude of all of them, it's difficult to reflect. But really, we've taken all the pluses and minuses here, and I would say the guide is neither conservative nor aggressive. It's very prudent. And that's really the approach we've taken here.
Brandon Couillard: Okay. Then as far as the margin guide goes, I've heard you call out $15 million for e-commerce, another $20 million for, you know, your ability to serve customers. Are there any other investments that you specifically call out? Should we view those as kind of one-time in nature as we think about what the margin could look like beyond this year? Thanks.
Brent Jones: Yeah. I mean, Brandon, a few things. The $20 million on the operations side is going to be much more capital than OpEx in terms of some of the digital are gonna be capital. I think a few things we were thinking about the adjusted EBITDA margin path here. Think of Q4 as a starting point and while I wouldn't exactly call that a run rate, I think that's an important jumping-off point. Then you incorporate in our comments of biotech and I'm sorry. Bioscience and medtech products or we'll probably shorthand this BMP. You know, that will probably grow at a lower rate than VWR. So then you have a segment mix issue there. And then within that, the comments I made about headwinds in serum, electronic materials, NuSil, those are really key drivers of margin. Marrying that to the VWR side, margins negatively impacted really by a continuation of the recent trends that we've seen in that business. There are some other revival investments there. Wouldn't say the magnitudes that Emmanuel called out are probably the really significant ones. And, otherwise, these are gonna be very tactical things. He's made comments about certain senior hires and all the rest of it, but that's what I would put together for the margin story.
Emmanuel Ligner: And if I just add something, I think I shared that philosophy as well in my first call. It's also about self-funding. Okay? So we spoke a lot about that internally as if there's a need for investment within revival, we need to make sure we self-fund it, which means that we need to find optimization and waste in other areas to be able to reinvest.
Emily: Thank you. The next question comes from Paul Knight with KeyBanc. Please go ahead. Paul, your line is now open. Please proceed with your question.
Paul Knight: Sorry. My question is a two-piece. Yeah. You hear me? Go ahead. Go ahead.
Emmanuel Ligner: Yeah. Yeah. We can now. Yeah. Yeah.
Paul Knight: Yeah. As you look at this year, I guess we view it as an investment year. What kind of margin impact are these investments creating? Is it 100 bps? Is it 200 bps? Is it 50? Could you kinda give us a range on this, you know, implement revival, fix manufacturing a bit, fix e-commerce? What is this kind of margin impact in your view that, like, previous question, could dissipate in future years?
Emmanuel Ligner: That's a very good question. I think first of all, I will qualify this year as a transition year, okay, more than an investment year. Transition means that we have a lot of change going on. We have a lot of work to do. Okay? We have to make sure that we operate and we go to market differently, and we already started. And so remember, revival that we just introduced only three months ago, and the team is really in action. And I'm super thrilled by the reaction of the team and the engagement that we have. So I will call it a transition year. I will not call it an investment year. And as I said, all the investment that we need to do will need to be self-funded. So what we are guiding today is what we're guiding, and I don't think we will go into the granularity that you're asking about how much revival is investment or not. Again, if there is more investment that we'll do, which are going to be much more material, we'll share that with you guys. Three months in the road, we already take a lot of action. We relaunched VWR, which, by the way, received great feedback from suppliers, from customers, for our own people. So the team is energized. I participated in a self-conference in America. Last week, I was in Asia for the stem cell conference. And in two weeks, we will be in Europe. The vibration is the vibe and the energy of the people is really good. So I don't know if you want to add anything, Brent, but I don't think we'll go that granular.
Brent Jones: Yep. I mean, Paul, I would just I would also ground yourself in our comments on, you know, the exit rate coming out of 2025 in Q4 and the number of moving pieces we have, particularly in the bioscience and medtech business, which is, you know, very significant margin impact there.
Paul Knight: Yeah. And then last question would be, what do you think the growth rate of the industry is under normalized conditions?
Emmanuel Ligner: What is normalized condition? I mean, is it normalized condition from a or is it normalized condition from us and on which period, you know, during the transition year or not? I think look. What I'm I'm still really looking into this trying to really evaluate what will be the future. What is very important is that we execute what we said we will. That we got into the detail that we compete rationally, and that we, we just move on. So let me I've been here only six months, so I need maybe a bit more time to come back to you, but, this is a very good question.
Paul Knight: Thanks.
Emily: Thank you. The next question comes from Michael Ryskin with Bank of America. Please go ahead, Michael.
Michael Ryskin: Great. Thanks for taking the question. Beat a dead horse, but I wanna go back to margins again. Just the 2026 guide, if we if we look at, you know, both 4Q and jumping point, just sort of, like, the total year over year. One thing you guys haven't talked about a lot so far than price and share gains and share losses. You would assume a little bit on the fourth quarter of lowering price to hold off the volume. So I was wondering if you could elaborate on that. I mean, is this is this a race to the bottom? Sort of, you know, how viable is that of the long-term strategy? Just could you talk about, you know, share losses, especially in the lab distribution side of things. And just you know, once you get through all of that in 2026, is this the bottom on margins? Can you expect margins to go from here? Or are we still sort in the process of figuring that?
Brent Jones: Yeah, Michael. Thank you. Look, in Q4, the biggest impact on margins was mix. There was a little price and there was a little negative price in Q4. Primarily the lab business there. You know, we're being careful with all the moving pieces going forward into '26, so that's why we're using that as a jump-off point. But you know, our assumptions in the plan for next year include, I would say, when you look at the gross, or when you look at the revenue outlook, we're expecting, you know, very, very flat volume on the lab side and some price, but not a dramatic amount. And we're expecting better price on the bioscience side with a little less volume there. So let's say that, you know, we think we're in a point that we can execute against that reasonably on price, and we don't see it as a race to the bottom.
Emmanuel Ligner: And I just want to maybe make one comment. We are working really hard to make sure that Q1 is the low point.
Michael Ryskin: Okay. Alright. I'll follow-up offline. And then for my other question, you mentioned in your prepared remarks you had a comment about book to bill greater than one. I just want to be clear on that. Is that with bioprocess specifically? Was that one of the subcomponents of bioprocess? And just know, depending on where that is, I'm kinda trying to reconcile that with the biosciences and medtech guide, which are the implied guide for 2026. I mean, I guess, why why isn't if the book to bill greater than one, why does not translate to slightly better growth in that segment? I know you called out some tough comps, but just sort of like, you know, let's put that greater than one number in the context and what that means to. Thanks.
Brent Jones: Yeah. Michael, that as well as the full year high single-digit growth was a Process Chemicals comment. Process Chemicals excluding serum there. And you know, and that certainly is a better part of the story for twenty-six.
Emmanuel Ligner: And, Mike, you remember that we have some bottleneck in supply chain. We have identified the need to invest about $20 million. Mary and her team are working super hard to make sure that this is put in place. But as you know, a lot of those equipment or investment needed, it takes time. It's custom-made. It needs to be deployed. It needs to be validated. So, you know, we're super pleased to have a book to bill superior to one, but there's a few things that we need to do in supply chain to debottle the neck that we have right now.
Michael Ryskin: Alright. Thanks. I'll leave it there.
Emily: The next question comes from Dan Brennan with TD Cowen. Dan, please go ahead.
Dan Brennan: Great. Thank you. Thanks for the questions. Maybe, I guess, the first question would just be back to the margins. I know you're not going to give a lot of granularity, but a little bit more of a bridge would be really helpful if you could. I mean, going from 16.3. I know, Brett, you said you're saying start with four q, but could you just give a little more color about how we think about organic margins, how we think about the investments, how we think about, you know, kind of other levers. You know, you're talking about mix. That would really help us since I think that's a QE's month that was down this morning.
Brent Jones: Well, Dan, I think you answered a lot of the question within that. Again, the Q4 exit rate is a really important grounding point. We know, we do have a modest incentive comp reset that creates some, you know, and some merit that creates some headwind on the SG&A side. You know, we're obviously running productivity actions against those things. You know, we will have those mixed pieces on the bioscience and medtech side there. There are headwinds there, and then obviously driving, you know, driving price and lab and putting that all together. I don't think we'll have a more concise bridge for you here. That's also why we're going to EBITDA margin generally because, look, we understand where Q1's gonna be. As Emmanuel said, we expect that to be the low point, and we'll drive sustained continued improvement throughout the year.
Dan Brennan: Okay. Then maybe Emmanuel, you know, you talked about the tour you did with customers and the strong receptivity on VWR, the channel business. Can you just zoom out a bit on the channel business and just give a perspective on how we might think about the outlook there, like, any comment on what your share on that business is? How you're competing with your biggest competitor there, Thermo? And kind of as we look out, you know, what you think that business could sustain from a growth and margin basis to look at a few years. Thank you.
Emmanuel Ligner: Yeah. Look. Again, spent a lot of time with suppliers in particular and customers. Look after a challenging 2025, I think we're seeing some stability in the market. I think Corey and the team have done a really good job to renew really important contracts for us. As I said, with opportunity and, of course, those opportunities are licensed to hunt, I will say. Okay? So it takes time to really go and convert those things. But, we have I feel I feel that we we are looking at at at some you know, leaving 2025 in a 2026, sorry, in a better position that that we were leaving 2025. We'll continue to compete vigorously for sure, but we want to compete also rationally. Okay? I think this is very important for us. So there's a variety of investments that we are doing. We are bringing a lot of talent in that organization. Okay? We have a new relationship leader. We have a new pricing leader, which is very important. For us. We are investing into the e-commerce. We had our first release of our upgraded e-commerce platform in December, and I think the launch of re of the relaunch, I would say, of VWR, as our distribution brand is really, really resonated very, very well with the market. So I feel really encouraged by the feedback that I received from the VWR ecosystem. And, again, I think that, we would like to 2026 in a more stable footing.
Emily: Great. Thank you. The next question comes from Luke Sergott with Barclays. Luke, please go ahead.
Luke Sergott: Great. Thanks for the question, guys. I just wanna talk about Emmanuel. You talked a little bit about, you know, not sacrificing growth opportunities for cost savings as you had seen in the past. Can you give us some examples of what you, you know, as you're the first six months in and looking at some of these missed opportunities? You know, and how you would have done things differently, and then we can get into some more pointed questions, I guess.
Emmanuel Ligner: Sure. I mean, one example, like, straight to my head is in certain, I will say, VWR specialty, we may have cut too many specialists. Okay? So when you cover a territory, you know, with mean, just to take an example, if you cover England with 10 specialists in the past, which was probably too many, Okay. Okay. But, maybe cutting down to two is too little. And that's what we are really looking at in the go-to-market pillar of revival is really looking at, the specialists, the account managers, the deployment of all those people by territory, by geography, to opportunities. And, so 10 was maybe too many. Two is too little, maybe the right number is five. And it's those types of approach that we have by country, by territory, by product segment for both VWR on one side and BMP on the other. What was the second part of your question?
Luke Sergott: No. That was I mean, just what you would have done differently. Was it. I was Yeah. I guess and as we think, I mean, I'm not gonna talk on the margin, obviously, but, you know, you think about the investments here. You got the resegmentation. We've seen this kind of revitalization story before with you guys. So, you know, what are the differences in the go-to-market strategy here? What kind of investments did you need to make? And then, you know, how should we think about those investments across the two segments? Is this gonna be on, like, VWR, and we should expect that business to grow in '26? Is this just like investment and trying to hold clients in without losing any key more key customers?
Emmanuel Ligner: That's a great question. Look. The basic decision for the change in the go-to-market and the resegments business is really coming from customers. And it's really about the confusion that I heard when I spent six months on the road. Okay. We have an opportunity to be clear. We have an opportunity to leverage the advantage of who we are, where we're coming from, from VWR, from JT Baker, from Masterflex, from NuSil. And it helped us to just better organize ourselves, really being much more focused on the customer's needs, and you can appreciate the customer needs of VWR customers, which want a channel, which want a fast delivery, which want very fast services, at a great price point is different than bioscience chemicals, which are, you know, designing into a process or a molecule manufacturing. And so those different needs deserve different commercial approaches, different support, and that's what really motivated our decision here. It's about better organization, it's really about making sure that we can compete, that we can be more nimble and more agile. And, of course, one thing which I think is extremely important as well, is you have better accountability across the organization. So that's really what motivated us. In terms of investment, again, we'll make investments in both segments where we see the opportunity. I gave you an example in VWR, but there's plenty of other opportunities in the BMP segment. So we'll make investments against where we need to go after opportunity. Again, the goal is to really drive sustainable, profitable top-line growth for us.
Luke Sergott: Got you. Thank you. Oh, by the way, is in your guide, is VWR gonna grow? Sorry about jumping in there last minute.
Emmanuel Ligner: Well, I think as I said, we feel that with the investment we're doing, with the passion that is behind, we will exit 2026 in a more stable footing.
Luke Sergott: Alright. Gotcha. Thanks.
Emily: The next question comes from Vijay Kumar with Evercore. Vijay, please go ahead.
Vijay Kumar: Hey, guys. Thank you for my question. Emmanuel, maybe one on, you know, given the new segmentations, right. Is there what was the organic growth for VWR in bioscience medtech in fiscal '25? When I'm looking at the numbers, did bioscience and medtech grow in that '25? If it did, what was bioscience versus medtech? Just maybe some context. In this new segmentation. Is that like, how does it help you in better aligning the business? You know, you mentioned go-to-market. Right? Like, what's changed versus prior and how you go to market?
Brent Jones: So here, just on the technical side, we haven't provided that historical, but it's you know, the portfolios aren't that different in the aggregate, so your growth path will be similar to what we provided on the historical segments. Emmanuel on the segmentation change.
Emmanuel Ligner: Go-to-market. What change is, you know, from a customer standpoint, when you want to buy a product which is through a distribution channel, a buy-to-sell, you know, you get everything in there. Okay? Remember, one of the things that we move, I think, which was in the slide, was the CEC. And the CEC, it's love, it's mask, it's many products that you use. Across various places, but, of course, also in biomanufacturing. But you buy them through your indirect sourcing team. You buy them through a distribution. So, you know, CEC, which was part of the BPS, now it's going back to VWR because the customers buy them from an indirect sourcing organization. They buy them through VWR. So it just makes more sense for the customers. It is simpler for the customers to know which product is served by which team, by which commercial team, under which contract. So it's all about clarity. It's all about customer centricity around their demands. How do they want to be served.
Vijay Kumar: Understood. That's helpful, Emmanuel. Maybe my second follow-up is, hey. Share count, Brent. You ended, I think, at six seventy-nine. Why is it going up to six eighty-five? And given what you mentioned about Q4 stability, can we expect EPS to grow in fiscal 'twenty-seven? It's a directional qualitative kind of question.
Brent Jones: Yeah. But I'll take the first part and then do to Emmanuel on the second. We just diluted dilutive share is dilutive comp grants in that as well as it moves on stock price and that. So there's nothing dramatic underlying that assumption. On the diluted share count.
Emmanuel Ligner: I think look. Six months in the job, three months in revival, I think it's really too early to talk about, you know, what's going to happen after this transition year. So I really want to focus on where we are today, all the work that we have to do, revival, and then, you know, we continue to understand more, learn more, and hear more from suppliers, customers, and we'll take it one quarter at a time.
Emily: Thank you. Thank you. Next question comes from the Thank you. Our final question today comes from Matt Larew with William Blair. Matt, please go ahead.
Matt Larew: Good morning. Thanks for squeezing me in. You have the new segments here. And obviously, on the BNP side, you referenced sort of the channel agnostic being the theme. But it also spreads not just across channels but across end markets. And customer classes. And, you know, some are more scaled than others. Last quarter, you referenced the idea of M&A. You know, wanting to bring M&A inside of a healthy organization. This year, it was about making the organization healthy. What about just from a current portfolio standpoint as you now assess the scale needed to be successful within each of these subsegments? I mean, what's your take on kind of the portfolio that sits today and where you'd like that to be?
Emmanuel Ligner: Yeah. Look. We shared that in the past in terms of portfolio. We are doing a lot of work. We've done some really good Brent is leading this pillar in Tide Revival. They have targets which have been identified. And, you know, as we said in the past, everything is on the table. No taboo. Right? We are really looking at everything. And there's some things which are going on, and, of course, we will talk to them when they happen, but, we're moving full speed ahead on the portfolio. I think it's very important as well to remember that, I really want to make sure that this resegment is understood and the fact that it did us opportunity. Right? You when you look at the BMT channel agnostic, it means that the team is now open to new opportunities, open to new ways to reach customers in an area like in Asia, like I was in weeks ago, there is opportunity. And this is why we are doing this is making sure that we look at those two businesses really separately in terms of opportunity. There is opportunity, and we are enthusiastic about it. That's what we will do. But, portfolio, we're working on it. And when we have things to share with you, we will do so.
Matt Larew: Okay. Thank you. Thank you.
Emily: Those are all the questions we have time for today, and so I'll turn the call back to Emmanuel for closing comments.
Emmanuel Ligner: Thank you. Thank you very much for joining the call today. Let me conclude by just maybe repeating what I've said in the opening remark. Avantor is in transition, and 2026 is really a year where we will invest purposefully and sensibly to really strengthen all aspects of our business. The ultimate goal for us, of course, is for the business to produce financial results that are far more attractive than what we've shown in recent years. And you have the full commitment that the team is working really, really hard on this. So thank you again for joining the call. And talk to you soon.
Emily: Thank you everyone for joining us today. This concludes our call, and you may now disconnect your lines.